Martina Borger: Good morning, ladies and gentlemen, and welcome to Bilfinger's First Quarter 2025 Results Conference Call. My name is Martina Borger, and I'm joined today by Thomas Schulz, our Group CEO; and Matti Jakel, our Group CFO. As usually, we will start with a presentation on the quarterly highlights and financials and then open up the call for your questions. [Operator Instructions] The event will be recorded. And I will now hand over to Thomas.
Thomas Schulz: Thank you, Martina. Hello, everybody. Let's start with the highlights. We had, as expected, a good start into the year with orders received 11% up, revenue 17% up, EBITA 50 basis points up from 4.0% to 4.5%. Free cash flow, a very good development, up to EUR 109 million. And of course we keep the guidance as it is with the midpoint in the revenue of EUR 4.5 billion and in the EBITA margin with 5.5%. Before we go into the figures and the outlook, et cetera, as always, at first, the safety part. It's part of our ESG configuration. And you see here on that slide on the upper left side, the total recordable incident frequency rate. And what you can see is that we have a slight negative development versus Q1 '24, but quite a significant improvement versus the end of last year. Similar situation on the lost time injury frequency rate. Important is that we are targeting to have 0 in all these figures. So no accidents for any one of our suppliers, customers as well as our own employees. Out of that, we go into the industry development. As you know, we show the production index for North America, Middle East and Europe and index to 2019, the last year before Corona. And when you look on that, besides pharma, biopharma, which is the green graph, the other 3 industries are more or less in the range where it was in 2019. Let's start with the specifics on the chemical and petrochem industry. There, we see significant regional differences in growth. On one side, we have the Middle East and U.S. On the other side, we have Europe, especially Germany. But the outsourcing potential, the willingness of customers to let out of their point of view, adjacent business going to suppliers like us is actually quite good. The revenue share was 20%, and we see the demand slightly positive in that area throughout all the regions. If we then come to energy. In energy, we see significant increase, demand for storage and distribution. The German investment, which was announced a few weeks ago, actually goes in that direction too. And the outsourcing potential there is good. Our revenue share actually increased to 25% of the top line, and we see the demand positive. Then the oil and gas. We see in the oil and gas, especially a very strong LNG demand, offsetting the lower refinery demand, what we have in the industry. Based on all the volatility, politically as well as in the global economy, we see quite a good outsourcing potential. The revenue part in the top line is roughly 20%. And for us, for our products, demand is quite positive. And then we come to the shining star in the production index development, the pharma and the biopharma. As years we say it, the localization, the reduced time to produce products since the corona time actually drives the performance there; outsourcing potential is good, the revenue share is lifted up to 15%, and the demand is quite good too. From that, we would like to present some of the orders that you can see what actually we do on sites. On the left side, we have from Norway from Thor Medical, an engineering procurement and project management order for a special cancer treatment production based on the element Thorium. It shows that we, as Bilfinger with that what we offer is we are able to go in the pharma, biopharma on low radiation material too; not only in technology when we build or when we have to demolish nuclear power plants, in the pharma, biopharma sector too. In the mid part, we have the chemicals and the petrochem from Vynova, a customer in Germany. And there we have a prolongation of a frame agreement for maintenance, mechanical, and piping services. Background is to further increase efficiency of the chemical production for that client. On the right side, we have from a utility company in Qatar in the oil and gas sector, to prepare to do a comprehensive study and assessment of onshore and offshore operations with a clear target to have an enhanced energy efficiency and reduce carbon emissions. These 3 orders show that we have a lot of common skills, we can serve different geographies and different industries and different customer demands with a high level of efficiency and sustainability improvement. How are we doing that? We bring here new solutions, innovative solutions. This time, it's about RoboBlast. It's a solution to clean surfaces in offshore, so-called mud tanks. And it is important that these mud tanks on offshore installations get cleaned from time to time to perform on the less negative impact with [ intoxications ] into the material what gets produced there. We do that together with technology leaders on one side regarding the sand blasting, on the other side regarding robot systems. We brought that together with a data collection system. We are able to improve the asset uptime by more than 50%. As you can see in the picture, no people have to be in the tank, which improved the safety. The cost savings are over 30% and the data collection, which is very important for our clients to prove what they do and what they not do, is fantastically improved with the digital system against manual systems. Out of that, we look into our demand. On the upper left side of the slide, you see our famous opportunity pipeline. Based on the Q1 2025, what we have now, the indexed month is the January 2023. And you see over the last 2 years, month by month, which amount of orders we can bid on as the Bilfinger Group. And when you compare that what we see in the first quarter, we actually have an improvement in the volume where we can bid on versus the first quarter '24, as well as versus the first quarter '23, which, as we say, is a good path for the future for a sustainable profitable growth. When we then look into the orders received, we see here a reported increase of 11% and organically minus 4%. So the 11% comes out of the last report quarter from the Stork acquisition, what we closed beginning of April last year. Why is it minus 4%? We flagged that already in the Q4 announcement that based on the German election on one side, with the uncertainty on the other side, with the U.S. election and the tariff gains, what we see there. The hesitation in the market is there, and that we see a little bit into our figures. But that will, as we said, only be in the first half of the year, and then we will have a normalized situation. Important here to show is that actually our order backlog grew by 20% and organically by 4%, which shows the strong, more balanced, more equal, more stable development of our Bilfinger Group. And if it gets to more figures, of course, I give to our group CFO, Matti.
Matti Jakel: Thank you, Thomas. Warm welcome from my side, everybody out there. A bit of a flavor on the first quarter. Performance, that was one too many slides now. So group performance. The revenue growth, 17% overall, 2% organically. Very good numbers from our industries, pharma and biopharma, energy as well as oil and gas. And as reported a number of times, chemicals and petrochemicals industry remains challenging. We hear about production reduction and in certain instances, also in plant closures or reductions there as well. Bear in mind, the first quarter typically is Bilfinger's lowest revenue quarter, so we are expecting the usual seasonality here. Same applies for our profitability. However, we reached 4.5%, so up 50 basis points over the first quarter of 2024, driven by a very good increase in our gross profit margin from 10.3% to 11.2%. Where is it coming from? Very simple, better product mix. That means we have more revenue from contracts with better margins like pharma skids, like engineering services or comprehensive maintenance solutions. We are on a good way here to achieve the midpoint of our guidance, 5.5%. So first quarter, 31% increase in absolute terms on our EBITA. A little bit of detail in the segments. E&M Europe, our largest segment, orders received slightly down by minus 6%. I think the factors have been mentioned now many times, a bit of the uncertainty, customers are more cautious, but good growth in pharma, biopharma and energy. And as I said before, chemicals, petrochemicals remain a challenge, especially in Germany, as we all know. Revenue, EUR 862 million over EUR 729 million. So in absolute terms, 18% growth, minus 2% organically, again, no concerns here as we had expected the first quarter. So we're well on track to achieve the midpoint of our guidance here, which is EUR 3.75 billion for the segment E&M Europe. Profitability, up 60 basis points from 4.5% to 5.1%, 34% in absolute terms, so from EUR 33 million to EUR 44 million, very good. And you can see Stork is a very good addition here in our segment E&M Europe. International, also in line with our expectations, as communicated before. Uncertainty in the United States with the new administration, so a lot of hesitancy on part of our customers, be it private or public customers. So the minus 19% is what we had indicated before. And also with the orders received, we know any quarter can be the highest or the lowest, so we don't have a typical seasonality here. Revenue, up by 7%, which is a very good number, to EUR 177 million from EUR 162 million for the quarter. Predominantly in the Middle East region, and here, in particular, energy and oil and gas industries have contributed to the improvement. Profitability is in line with our expectations and our outlook, 1.8% for the first quarter, EUR 3 million. And as we all know, these are small numbers and any variance looks big in percentage terms. Technologies, Thomas talked about shining star. I wouldn't go to that extent, but 24% up in order intake is really a success. And if you look at the fourth quarter 2024, so we're seeing quite a bit of catch-up where we had delays in contract awards. So a bit of more pronounced seasonality here. Revenue, very solid, 8% up to EUR 186 million. And book-to-bill 1.07 is a good indicator for further growth in our Technologies segment. And profitability up from 4.2% to 5.4% in absolute terms from EUR 7 million to EUR 10 million, so 40%, 41% to be exact on the back of improved product mix and operational excellence. So those levers that we have introduced with our strategy are working as we have designed them. Back to the group numbers. Net profit, EUR 32 million for the first quarter this year, up 27% over last year. Earnings per share, EUR 0.84 over EUR 0.66. We have seen a bit of a higher tax rate here, and that really depends on the countries where we record and report profits and the tax rate can then vary a little bit, 1% or 2% up or down. Free cash flow. As said in Q3, I believe it was, we completed a legal proceeding, a multiyear legal proceeding in the United States, which had a very positive effect or negative effect on the segment International, an offsetting positive effect on the group consolidation. However, the cash effect out of the settlement was included in our guidance for 2025. And we're really happy to have received the money in the first quarter. So the legal proceedings are now really final and completed, a mid-double-digit million amount. If we take that out, we still have seen our free cash flow in the first quarter more than double over the first quarter 2024. So that's a like-for-like performance based on improved working capital management. And you see the effects also in our KPI net trade assets over revenue, again, further decreased to 10% in the first quarter of 2025. The good cash flow results in very good net liquidity, so EUR 163 million. Obviously, we're in the second quarter, so that will go down as we pay the dividend if and when it's decided in our shareholders' meeting today. And that also -- you can see it on the right-hand side with the -- a bit of a seasonality. So June 30 numbers, we will go up a little bit in our leverage, but the target remains well below 2.0. And then finally, capital allocation in itself has not changed at all. Dividend growth, our first priority; organic growth, the second. Then M&A, as you well know, we have closed on the Rodoverken transaction. Share buyback is running. We have completed -- we have bought how many shares, Martina?
Martina Borger: Roughly 300,000.
Matti Jakel: Roughly 300,000. So that's 0.8% of the share total until May 8. But the really positive news of the day is that we have been provided an upgrade in our investment-grade rating. So we have now investment-grade rating BBB minus. And you may go back to the slides that previously; it said we would like to achieve investment-grade rating. Now that we have achieved investment-grade rating, obviously, we want to improve on it. With that, I turn back to Thomas.
Thomas Schulz: Yes. And this is the moment where I would like to say actually to the whole organization that we after 10 years, long time, got investment-grade rating back. And it fits into the clockwork execution of our strategy in all strategic levers what we have. And that makes it easy for me to go on the group outlook. We see with the figures what we have in the revenue with close to EUR 1.3 billion with 4.5% EBITA margin and more than EUR 100 million free cash flow that our outlook, what we have for the year with a midpoint on the revenue of EUR 5.4 billion with a 5.5% EBITDA margin and around EUR 240 million free cash flow, we are well on the way. But more important for us for the organization is that we are well on the way to achieve our midterm targets. And with that short recap of the highlights, we have orders received increase of 11%. We have a revenue increase of 17%. Our EBITA margin improved 50 basis points to 4.5% and the free cash flow jumped up to EUR 109 million. And of course, for us, the guidance, the outlook stays as it is. And with that, we would like to give back to Martina.
A - Martina Borger: Thank you very much, Thomas and Matti, for the presentation. [Operator Instructions] There's one question in the telephone line from Michael Kuhn from Deutsche Bank.
Michael Kuhn: Wonderful, and it's actually more than one question. I start with the order situation. Well understood, I think that there was a lot of uncertainty in the U.S., especially in the first quarter. Do you see first signs of normalization here already? Or is that, let's say, uncertainty continues for now? And moving over to the European side. Obviously, we just had the new German government taking office. But let's say, do you see some positive sentiment change among your customer base already or maybe the willingness to rethink one or the other plant closure and wait and see how the operating environment might change under the new government over the next couple of quarters?
Thomas Schulz: Michael, thanks a lot for the question. For the first part, yes, we see a stabilization and a better situation in U.S. We can describe it. There was a new boat coming on the lake and the captain of that boat rocked it quite significantly that actually the U.S. industry thought it could sink. It didn't. Now it's not that much rocked and the mood immediately improved. And to be more detailed on it, what hit us was the cutting announced -- traumatic cutting announcement of government offices and that actually prolonged approvals for our customers so that they can go on with their investments. And there, we see a normalization. Then in Europe alone, that how the election in Germany went and how quick the government then got into verbalization of actions, created more -- and you see that in the key figures with the sentiments in Germany and overall in Europe, the overall sentiment in the industry. If it comes to the willingness in investment with the investment package in defense as well as for the infrastructure, we see the positive outlook. But you see too that companies are still working or customers of us are still working on optimizing their footprint. And sites which are shut down and announced to shut down, we don't actually see that they will change that decision. We are not too negative on that at all because it will improve the efficiency. That's the target for the clients, and that is where we can help. We help to shut it down. We help to get the other plants bigger and more efficient and making actually more competitive in the world market. So this kind of cleaning what we see in the industry, not talking about if it was necessary, what the former government did or not, but what we see is actually good for the mid- and the long-term outlook.
Michael Kuhn : One question on the M&A topic, obviously, you announced a few days ago, maybe a few more words on the deal rationale here. And maybe also a few comments on your progress in the U.S. and the Middle East, respectively, where you have plans in both of those regions.
Thomas Schulz: Yes. With nZero, it's an expert in gas treatment and measurement of gas treatment into hydrogen, actually LNG related too, carbon capture related too. It's a perfect fit to make us more unique in the offering. We actually can -- with that acquisition, roughly 200 colleagues we got into the group, we can offer more efficiency improvement, more sustainability improvement to our clients. That makes us definitely more competitive. A very good and a warm welcome for the colleagues listening into. Then regarding the M&A, we announced in the mid of last year that we have a very strong focus on M&A in U.S., as well as in the Middle East. And we work on that. We progress on that, but -- and that's always the but. We have a clear, we think, well communicated 5 main points, what is important for us, total shareholder accretive and so on. And that has to get worked out, and we have to look very much into details because when we buy something, it should be a similar success as we have it with the Stork acquisition. So that it more or less can deliver from day 1 quite a positive impact towards our clients and short in integration and actually adding a lot of value internal and external.
Michael Kuhn: And then one more on pharma. Obviously, pretty strong order intake and sales contribution here. Is that kind of broad-based or rather focused on a few big clients?
Thomas Schulz: The industry -- the pharma industry is, of course, not that big in the amount of customers and very often, not always, but very often in the size of the clients. So it's actually brought over. We are more focused in that, what we work on based on the big demand, more in that what we would call the Central European middle line. Important to know here is that out of the corona time, the pharma and biopharma companies localized their productions. That is still ongoing. And very important, they get from a new development, a new product, a new medicine, for example, into production significant faster because approvals and the whole way to the market is significant faster than before the corona time. And that is for the industry, something new, still something new, and that explains why there is such a big pressure to expand. And we don't see that this will change in the next few years dramatically, not up and not down, but it will, with the growth rates, of course, any time level out, but it will stay strong.
Michael Kuhn : Okay. That's good to hear. And then last question on the completion of the U.S. legal case, just to confirm that again. So this was reflected in your guidance right from the beginning. And in that context, is there any other pending legal cases currently worth mentioning? Or was that it in terms of major things still going on in the background?
Matti Jakel: Michael, Matti here. So first part of your question, yes, the funds that we received in the first quarter were in our guidance for 2025, free cash flow guidance for 2025. Context, are there other pending legal cases worth mentioning? When we said we would leave the construction business, the large mechanical construction business in the United States, we had a number of contracts ongoing. Those contracts have all been completed, but with -- and it's very typical for those contracts that when they don't go as well as they should, you end up in all kinds and all sorts of disputes. And that's no different here. So we have a few more things that we are working and are trying to complete, and that's about the extent of it.
Martina Borger: Thank you very much for your interest, Michael. I will now read a question from the chat from Nikolas Demeter from Bankhaus Metzler. I'd like to follow up on the E&M International. It seems that the Middle East is performing quite well, while the U.S. is a bit weaker. So far, the numbers have come in broadly in line with expectations. That said, I'd like to ask whether the recent political uncertainties in the U.S. have changed your view on that market. Do you still see significant potential in the U.S.? What is the current outlook regarding M&A activity in the region? Maybe pricing for potential takeovers are getting better? Additionally, how is the situation developing with regard to new orders in Q2? Are you seeing signs that the political uncertainty is starting to ease with approvals being granted and new projects being commissioned? It would be helpful if you could share a brief update or some more flavor on the current sentiment and momentum in the U.S. market.
Thomas Schulz: Yes. The -- it's actually quite a broad question in that. When we look into the political uncertainties, what we saw with the election of a new government and then getting the tariffs, which had immediately on the global economy, the effect of increased uncertainty. We are not hit by these tariffs, that's directly, because we are hardly shipping any goods cross-border. It's service -- local service what we offer, what we do. We see the market as quite a significant better growth market than Europe, not as good percentage-wise as the Middle East, but the Middle East is significantly smaller in the base. Then in the U.S. market, we see quite a lot of European customers doing a lot of activities in North America, and we are actually demanded and asked for helping them and supporting them with similar approach as we have it here in Europe. So out of that, for us, U.S. is quite a big potential. But when we do things, we want to do it right because that is what we have in the strategy, and we like to deliver that what we promise. So from that point of view, the M&A activity, what we do, there are quite a lot of companies acting in a similar space as we are doing. And of course, you have to look what they in total do, that it fits with our strategy and especially that the total shareholder return can get delivered, that it's for us able to integrate in the foreseeable time and so on. Regarding the pricing in U.S. Generally, U.S. companies are operating with a higher multiple, but they are more specialized. And the way how we see that is actually that we are today in the U.S. market subscale with that what we still have. It's good business what we have, but subscale because we got rid of the -- as Matti said, of that not well performing for a long period of time, mechanical construction-related business. So out of that, this is for us a growth potential. When we then look into the Q2, the short-term uncertainty came from one specific person within the President environment announcing, I forgot already the name which kind of system he wanted to have there, DOGE or so, to cut significantly more than 50% of the employees and government offices. The reaction was that approvals took significant longer. Actually, we said roughly then coming in a time line like in Europe, it would be seen as good. And that hit our clients in a way that they were more hesitant in going on with different investments because they need, of course, these approvals. Then if we look into the current sentiment, give us a month more because with the lowering comments regarding the tariffs towards China from a 100% and 45%, still down to high 30%, we really have to see how that will then come out in the U.S. market. What we hear from our clients, it's actually more a message of relief that things are not so extremely done as they were weeks ago announced. So overall, slight improvement on the sentiment, slight improvement on the -- yes, the blocking of the hesitation, a little bit less of that. And we see the U.S. market as a potential growth market for sustainable profitable growth for our future.
Martina Borger: Thank you very much Niko, for asking the question and Thomas for answering. We have another question on the line. The next question is from Craig Abbott from Kepler Cheuvreux.
Craig Abbott: A couple of remaining questions from my side. First of all, I know it's a small acquisitions, but on the nZ Group, I just wondered if you could at least kind of give us some color on the profitability growth and multiples paid. I know in the press release indication was, EUR 30 million, EUR 35 million in revenues. Second question is we haven't talked about this in a while, if there is any update to provide on the planned sale of your South African operations. And the third question, please, is if there's anything new to report on the Centennial situation in the U.S.
Thomas Schulz: Yes. I take then the so-called small M&A. Actually, when we look into M&A for us, as we have in the strategy, it's important that it unlocks the already existing Bilfinger organization to do more. We see that in Stork quite well. We get orders what not Stork would have been getting or we as Bilfinger alone, but together. And the same is with nZero. It's from a size point of view, smaller. We don't actually inform about what the purchase price is. But the profitability, we can say with that what they offer, it's generally higher than the profitability in Industrial Service. And with that, it will, of course, have a positive effect on our profitability, too, not only that this business comes in with a higher profitability, but it will enable us to prove and to give to the customer more efficiency improvement that they earn more money, and we know that we then get as a multi-trade up to a solution partner, a better profitability for the overall Bilfinger business. And now to South African.
Matti Jakel: Yes. As mentioned probably too many times before, South Africa, our business there is up for sale. We have been working in the last few years with various parties, but typically one party at a time and not a long line of interested buyers standing in front of our doors. So yes, we're making good progress there. Again, we're in advanced discussions and negotiations with a party that we think is very solid, has committed funding. So let's see how that progresses in 2025. But we all know South Africa is a difficult place for foreign investments, so we're only dealing with local investors and the progress in the country is not all that exciting, I would say. But again, we're confident, we continue, and by the way, the business is performing very well. So we're not in a stop the bleeding situation at all, quite the opposite. We're quite happy with how they performed. So no need to rush into a fire sale. On Sapelo, on the accident -- back to the U.S. Sapelo Island accident that happened last year. There's nothing new, Craig. The authorities continue to investigate -- we have no knowledge about the cause of the accident or how it happened. And we're still waiting. There is further investigations ongoing. We're waiting for those investigations to be completed and then for expert reports to be issued. And once that's out, we would probably see something more clear in second, probably third quarter of 2025.
Martina Borger: There are further questions on the phone line. The next question is from Olivier Calvet from UBS.
Olivier Calvet: I just have a couple of questions left. So just on more technical side, could you talk about the sequential cash flow development you expect for the remainder of the year, in particular on working capital? Second question would be just on the tax rate level. I understand it's mostly on your country, but I was curious if you have any sense of where the tax rate will land for the full year. And then given your upgrade to BBB minus today, congrats on that. I was just wondering if you have an update to your financial expenses that we should have in mind.
Matti Jakel: On the working capital development for 2025, we will see the same improvement continued that we have seen in 2024 through our working capital management efforts. A more leveled out cash flow performance throughout the year, and that is also reflected -- it's all coming from working capital management anyways. So that is how we see progressing and a further reduction in the net trade assets over revenue percentage. That's the key measure for us, how we see operational performance and progress there. Tax rates for the full year, that's a very good question, Olivier. We are operating in so many tax regimes across our regions that it's difficult to really assess or forecast which tax rate. In the end, it's a combined or it's a mixture of all tax rates where we generate profits that then are taxable, and how that is going to come out. One of the reasons is -- this is one of the reasons why we use a standard tax rate for calculating our adjusted earnings for dividend purposes. But overall, we expect the rate to be in the range of 25% to 27%. On the S&P investment-grade rating, really happy to have that sort of in the bag. The financial expenses, there will be some relief there. Some of it will hit the EBITDA. Some of it will be in the financial results. I think overall, together, this could be up to EUR 1 million per annum in reduced financial cost.
Martina Borger: [Operator Instructions] We have one further question on the line from Christoph Dollenschall from HSBC.
Christoph Dolleschal: Two follow-ups. Most questions were already answered, but one is basically on the demand trajectory because obviously, Pages 4 and Pages 7 show that you think that demand per se is okay. But how does that line with your view going forward, i.e., how would you expect this demand to actually materialize in orders as organic order received are still down year-to-date or year-on-year. So how is that progressing and probably with an update on what you've seen in April and probably also the first days of May?
Thomas Schulz: Yes. We actually said in the fourth quarter that we see the first half of the year based on the German election and U.S. let's call it, the behavior there. Some hesitation, how things are getting finalized on customer side in form of contracts, and that is what we will see approved. But the Q2 is actually going quite okay. That is not -- we are -- I make it like that. We are quite positive on the growth what we will have in the order intake on the year 2025. We are not negative on that at all. Back to the Q1, what you see with the minus 4%, we always have some seasonality in it. Then combined with that, what I said with U.S. and a little bit with the uncertainty out of -- before the German election, that is actually okay. On the other side, that our Stork acquisition with the last quarter inorganically coming into the figures show how good they perform. And I only can reiterate what I said before. We get quite a lot of business what we were not able as Bilfinger to get or Stork out of their view alone. In the combination, we are definitely more competitive. So all in all, good outlook.
Christoph Dolleschal : Okay. Probably also a follow-up because I remember last quarter, you said that there had been expiries of large framework contracts in E&M International, which are to be renewed, I think, in the second quarter. Is that still the case?
Matti Jakel: Yes, Christoph, Matti here. That's still the case. We expect a very large framework contract in the United States to be renewed as it has been for the last 50 years or so. So no reason to doubt that we will continue working for that client. Sometimes the renewal is signed before the end of the second quarter or in the first days of the third quarter. So either one, we will see that order intake hit our books.
Christoph Dolleschal : Okay. And last one is, I mean, I think end of last week or beginning of this week, there was a first draft on the IRA Inflation Reduction Act changes. And that is specifically negative for hydrogen, have you got any initial thoughts generally whether or how that could affect your U.S. business?
Thomas Schulz: Yes, there is nothing what we see when we are not prepared for to make it like that. And it should not sound arrogant. What is actually the big tool what we can use within our group, roughly 80% of the business, what we do, no matter which geography or industry or customer group is more or less the same. And you see it a little bit in the figures. On one side, we were quite stronger in '23, beginning of '24 in the chemical industry, and petrochem industry on the Bilfinger Group that shifted more towards the energy part. How can we do that? In total, still good growth. No matter that chemical and petrochem has some tough times, especially in Germany, it is actually this 80% more or less same work. So we can deploy people then from one part into another, and they more or less do the same work. And that with the hydrogen, what you just said, hydrogen is not that huge business to make that clear, too. There's LNG, there are other things, carbon capture and so on. And to be a little bit polemic on that, last 2, 3, 4 years in Europe, there was a lot of talk about hydrogen, not a lot of activities. A lot of talk you don't see in the figures. The little activities, we don't see that this will go down. But it will be not that big boom what the former German government and some people in Europe promised and said before, but it will a constant growth into that.
Martina Borger: We have another question on the chat from Gerard O'Doherty. It reads: In pharma and biopharma, you mentioned you are active in the Central European boat. Could you expand on that point, please, in terms of levels of investment and commitment you are seeing? Are there any particular countries that are particularly noteworthy?
Thomas Schulz: Yes. I think the -- let us start with the countries. Of course, I was 10 years in Denmark. Denmark is a beautiful country, not only to live there. Then Germany has a big base. We see Switzerland, Austria and so on. There's a lot to do. We can do more, and we are preparing ourselves to do more. It's actually not so much about investments what we have to do. It is more to spread the competence what we have within the group more broadly over all the regions. And you know that we implemented quite a while ago, the product center system, where we have dedicated expert team supporting all the regions, and that works out well, but it takes just time to get more across all the regions what we have. For us, the pharma, biopharma area is a fantastic, good area to work in. Why? Here we have the same as in nuclear, we have the same as in oil and gas and chemical and energy, 80% is what we can use throughout all industries. So we are actually well prepared to make it short to spread around more business in the pharma, biopharma. We don't need a lot of investments. You would hardly see it.
Martina Borger: Thank you very much, Thomas and Matti. There are no further questions. So thank you very much for your active participation in today's Q1 call. We will be starting off the Annual General Meeting in a bit more than an hour and are looking forward to welcome a lot of our investors there as well. And yes, in the meantime, if there's any questions on Q1 or other matters, please also feel free to reach out to the Investor Relations team. Thank you very much, and goodbye.